Operator: Ladies and gentlemen, thank you for standing by, and welcome to Huize’s Fourth Quarter and Full-Year 2024 Earnings Conference Call. At this time all participants’ are in a listen-only mode. After the management’s prepared remarks we will have a question-and-answer session. Today’s conference call is being recorded, and a webcast replay will be available on Huize’s IR website at ir.huize.com under the Events and Webcasts section. I’d now like to hand the conference over to your speaker host today, Mr. Kenny Lo, Huize’s Investor Relations Manager. Please go ahead, Kenny.
Kenny Lo: Thank you, operator. Hello, everyone, and welcome to our fourth quarter and full-year 2024 earnings conference call. Our financial and operational results were released earlier today and are currently available on both our IR website and Global Newswire services. Before we continue, I would like to refer you to the safe harbor statement in our earnings press release, which also applies to this call as we will be making forward-looking statements. Please also note that we will discuss non-GAAP measures today, which are more thoroughly explained in our earnings release and filings with the SEC. Joining us today are our Founder and CEO, Mr. Cunjun Ma; COO, Mr. Li Jiang; Co-CFO, Mr. Minghan Xiao; and Co-CFO, Mr. Ron Tam. Mr. Ma will start the call by providing an overview of the company's performance and operational highlights, followed by Mr. Tam, who will go over our financial results for the fourth quarter and full-year of 2024. Before we open up the call for questions. I will now turn the call over to Mr. Ma.
Cunjun Ma: [Foreign Language] [Interpreted] In 2024, the insurance industry continued to deepen the implementation of unified commissions and fees in reporting and underwriting. The industry entered a 2% era. Further, China's State Council released its 10 measures, which outlined comprehensive regulations for the high quality development of the industry. In response to these policy directions and market trends, we proactively adjusted our strategic focus and expanded our diversified and customized product offerings. As generative AI accelerates the transformation of the industry, we have implemented a forward-looking AI plus strategy transitioning from the application of intelligent tools to a comprehensive restructuring of our surface ecosystem. This strategic shift has enhanced the product matching and surface efficiency, establishing Huize as the benchmark for the intelligent transformation of the industry. Meanwhile, our accelerated international business development has built a strong second growth engine, following high-quality sustainable growth. As a result, in 2024, total revenue increased by 4.5% year-over-year to RMB1.25 billion. And both gross written premiums, GWP, and first year premiums, FYP, facilitated across our platforms, achieved record highs. In 2024, GWP amounted to RMB6.16 billion, up by 6% year-over-year. Full-year FYP reached RMB3.42 billion, up by 31% year-over-year. In terms of our product makes measured by FYP, whole-life premiums contributed RMB1.84 billion, surging by 76% year-over-year. While long-term health insurance contributed RMB520 million, up 2% year-over-year. Influenced by the downward adjustment in assumed interest rate, we registered stable growth in savings insurance products, accounting for 68.6% of total FYP, representing a year-over-year increase of 5.5%. Meanwhile, our short-term insurance business recorded robust double-digit growth, with premiums up 23% year-over-year to approximately RMB515 million, further strengthening the diversity of our product portfolio. Driven by profound customer insights and outstanding service capabilities, we remain committed to delivering a premium service experience to high-grade customers. By the end of the fourth quarter, our cumulative number of insurance users further increased to 10.6 million, with 380,000 new users added during the quarter. The average age of customers, who purchase long-term insurance products in 2024 was 35.1 years old, among which 68.4% were located in higher Tier cities, reflecting our high quality customer profile. The average FYP policy size for savings products reached approximately RMB75,000 in 2024, up by 39% year-over-year. By the end of December 2024, 13-month and 25-month persistency ratios for long-term insurance both exceeded 95%, continuing to outperform industry averages. As of the end of the fourth quarter, we maintained a strong partnership with 139 insurance companies, continuing to develop and launch customized products across a diverse range of insurance categories. In 2024, we partnered with Aviva-COFCO to launch Fu Man Jia, a customized participating whole life insurance product that combines protection and investment features, which receive widespread market recognition. Additionally, we partnered with Ping An to introduce the upgraded Chang Xiang An Number Two long-term medical insurance product, which has been continually optimized in three key areas, including ease of enrollment; lower deductibles; and enhanced value added services to better meet the growing public demand for high quality healthcare protection. In the fourth quarter of 2024 GWP contribution from our customized insurance products accounted for 53.1% of total premiums reflecting the recognition and confidence in our product development capabilities from both customers and the broader insurance industry. In 2024, the insurance industry accelerated its transformation towards operator intelligent and efficient, upholding a long-term commitment to digitalization, we have developed substantial advantages in both product and sales data, alongside industry-leading technological innovation capabilities. During the year, we launched an intelligent client services system, combining smart navigation with human assisted services to provide a 24/7 response mechanism. Additionally, we developed an intelligent assistant for our mid to high-end medical insurance products to assist our client service personnel with product recommendations, policy interpretation, and after-sales support. This system has achieved a 95% accuracy rate in responses and significantly accelerated the development of our intelligent surface ecosystem. In Q4, we launched the Feng Tung Underwriting Risk Control Engine System, establishing an intelligent, automated, and digital underwriting risk control platform to enhance risk measurement across multiple scenarios and all insurance product types. Leveraging for this 19-years of operations, our proprietary Feng Tung system integrates multi-dimensional internal risk data, including underwriting claims and fraud detection and connects to high quality external data sources to build a robust underlying system -- data system. We've proprietary developed a [disease] (ph) classification system and algorithm tagging technology to accurately identify high value insured individuals and high concentration rates. By incorporating external data such as fraud indicators, credit risk, occupations, and place of residence, we achieve more comprehensive risk assessment capabilities and significantly enhance underwriting precision. Meanwhile, we customize risk control rules and modules according to the specific characteristics of different insurance products, enabling the flexible application of risk control rules and models to provide customized risk management solutions. These have been successfully implemented in various products, including Guardian Critical Care, Little Bee and Chang Xiang An. Our verification engine with automated routes has reduced underwriting time to just 1.01 seconds per case on average, drastically improving operational efficiency. Since its launch, the Feng Tung system has maintained a positive controllable risk identification rate of between 2% and 30% across different product categories. Key products saw a monthly claims reduction of 7% and health insurance products cumulatively reduced claims exposure by over RMB300 million. Overall, the system has achieved a claims ratio below the industry average. These outcomes have significantly strengthened business quality and showed a similar user experience and created a positive cycle between risk management capabilities and business growth. Backed by our exceptional technological strengths, robust business capabilities, and extensive expertise in the Chinese market, we made significant and rapid strides in our international expansion in 2024. Our international brand, Poni Insurtech, successfully completed the acquisition of Vietnam's leading digital insurtech platform, Global Care. In Q4, Global Care achieved a 32% sequential increase in total policies issued, with revenue growing 33% sequentially. As a strategic shareholder, Poni Insurtech has begun to undertake a comprehensive technology and business empowerment at Global Care. In October 2024, we launched globalcare.vn, a health insurance comparison platform integrated into the GSL app, offering Vietnamese consumers the high quality, transparent, and user-friendly insurance purchasing experience. Vietnam is a pivotal component of our international strategy and representing a significant strategic milestone in our long-term Asian SDN expansion strategy. Looking ahead, we plan to bring the AI agent model to core Southeast Asian markets, including Vietnam accelerating the localization and implementation of Huize’s proven intelligent surface model from China. This will further enhance insurance service efficiency and user experience in these markets. We believe the success and insights gained from our Vietnam operations in 2024 will strongly support our further expansion into Singapore and the Philippines in 2025 and other Southeast Asian markets in the longer term, helping us to achieve our target of 30% international business revenue contribution by 2026. In February 2025, amid rapid advancement in China's AI large language models, we fully integrated DeepSeek into the Huizhou app. This milestone enables seamless AI-driven interactions throughout the entire insurance purchasing journey from consolation to policy issuance. We are among the first organizations in the insurance sector to deeply embed the AI model into consumer facing services and to establish an around the clock Intelligent Insurance Service model. By introducing the AI agent model, our AI powered app now delivers 24/7 personalized insurance advisory support, giving customers always-on intelligent service at their fingertips. This innovation significantly optimize the purchase process and holistically improves the user experience. In the first month since its launch, the AI powered Huizhou achieved breakthrough results. Customer acquisition effectiveness significantly improved with an activation rate exceeding 40%. New users' self-purchase rates and premium conversion efficiency also show improvements. Combining power, natural language processing capabilities with the comprehensive insurance knowledge base from Huizhou, our intelligent recommendation system, Right Pick, precisely matches customers with suitable insurance products, further improving sales conversion rates. Additionally, the AI model's real-time interaction capabilities ensure timely responses to customer inquiries. In the first month after the app's launch, the daily average number of users served exceeded 40,000, delivering a more convenient and efficient insurance service experience for our customers. Looking ahead to 2025, our focus will be on developing an intelligent needs assessment system for user needs, precisely matching user profiles with product recommendations, further enhancing conversion rates, and setting a new benchmark for high-quality digital development within the industry. In 2024, we demonstrate a strong resilience amid industry shifts by leveraging profound market insights and product innovation to adapt our strategies with agility and achieve rapid high quality growth in our international business. Looking ahead to 2025, we will deepen collaborations with insurance partners and develop more innovative customized products tailored to evolving market demands. By harnessing cutting-edge AI technologies like DeepSeek, we aim to further enhance service efficiency and elevate customers' experiences, while continually pursuing breakthroughs in product design and risk management to reinforce our leading market position. Meanwhile, we will capture international market opportunities and expand our footprint in Southeast Asian markets. Through these initiatives, we aim to enhance our brand influence and build a more resilient, innovation-driven international business framework. Ultimately, we are committed to reinforcing our competitive position in the international market and delivering sustainable long-term value for customers, shareholders and partners. This concludes my prepared remarks for today. I will now turn the call to our CFO, Mr. Ron Tam, who will provide an overview of our key financial highlights for the fourth quarter.
Ron Tam: Thank you, Mr. Ma and Kenny. Good evening, everyone in Hong Kong, Asia, and good morning for those in the Americas. I realize it's been a very long opening remarks, so I'll be brief here on the results highlights. So despite the challenging macroeconomic and regulatory environment overall in 2024, I think we have delivered a very resilient performance with both total GWP and FYP facilitated on a platform reaching record highs of RMB6.2 billion and RMB3.4 billion respectively. Our total revenue has increased 4.5% year-over-year and achieving our second consecutive year of non-GAAP profitability. We have achieved this by leveraging our efficient omni-channel distribution network, which integrates both online and offline channels, focusing on acquiring high-quality customers, offering innovative high quality products, and deploying our proprietary AI solutions throughout the ecosystem. More importantly, we have also made significant progress in our international expansion strategy, which will help act as a key growth driver for our long-term sustainable development going forward. Over the course of 2024, we continue to strategically prioritize long-term insurance products in China, which have accounted for over 90% of our GDP for the past five years. Our omni-channel distribution network and sophisticated AI tools are significantly enhancing our customer acquisition and engagement capabilities. We have acquired approximately 380,000 new customers during the fourth quarter, increasing our total customer base to date of 10.6 million. Repeat purchases for our long-term insurance products have increased by 3.3 percentage points to 40.2% in 2024, which underscores our ability to capitalize on the LTP potential of a high quality customer base through both upselling and cross-selling. Our open platform architecture continues to empower our internal financial advisors and also external independent financial advisors, IFAs, with total FYP from our 2A business increasing by 17% to RMB415 million in 2024. I will also like to highlight several key achievements that drove our solid performance throughout the year. Our 13 and 25 month presidencies have reached a stable 95% over the year. Average ticket size for long-term savings products have surged by 39% to over RMB75,000, and premiums facilitated for short-term health and P&C products also increased by 23% to RMB548 million in 2024. In terms of our liquidity position, our financial position remains very strong and robust with a combined balance of cash and cash equivalent of RMB233 million or $32 million as of the end of 2024. In terms of our international expansion, Poni Insurtech, our international arm, continues to serve as the cornerstone of our growth strategy and deliver exceptional results in 2024. Total revenue of our international businesses has grown to RMB228.7 million in 2024, with international revenue contribution reaching 18% for the year ended 2024, which is on track in achieving our stated 30% target by 2026. In Vietnam, we continue to make meaningful strides in integrating the local operations with the broader expertise and capabilities of the Huize Group. Following the completion of the acquisition in Q3, our Vietnam business has achieved an impressive sequential growth, with gross within premiums increasing by 29% each sequentially and revenue by 33%. Global Care has launched a customized family accident insurance product, which was co-developed with the Military Insurance Corporation, one of the leading PNC insurers in Vietnam. In addition, we are making steady progress toward expanding into Singapore and the Philippines markets with entry plans within the next 12 months. This will further diversify our revenue streams and create new growth drivers to enhance long-term shareholder value creation. Notably, on the AI front, we were among the earliest in China's Insurtech space to deeply integrate DeepSeek’s model in February 2025. We deployed it inside our mobile app for Huize, this enables us to deliver real-time, customized, and data-driven recommendations to our customers, which will strengthen customer acquisition and engagement capabilities for distribution partners and IFAs going forward. This also provides a very scalable model for a technological foundation to accelerate our international expansion. In summary, we believe we are ideally positioned to capitalize on the opportunities which is created by China's evolving industry landscape which is poised for healthy and long-term sustainable growth across the entire value chain. Through Poni Insurtech, we'll leverage a proven business model refined in China and advance proprietary AI solutions to tap into the tremendous growth opportunities across Southeast Asia and the rest of the world, particularly in the young middle class demographic. We are confident that our cutting-edge technology and targeted market penetration strategy will solidify a position as Asia's leading insurance technology platform, connecting consumers, carriers, and distribution partners digitally and efficiently through our data-driven and AI-powered solutions. And with that, we'll now open up the call to questions. Thank you very much and over to you, operator.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] We will now take our first question from the line of [Qingqing Mao] (ph) from CICC. Please ask your question, Qingqing.
Unidentified Analyst: [Foreign Language] I have two questions. My first question is about the commission caps regulation. I think it has been in place for almost one year. Has the one-off impact of this regulation already subsided? And has market computation improved since its implementation? My second question is on AI. Could you please elaborate on the specific ways in which AI technology can improve your operations? And what can we expect in terms of the financial outcome? That's all.
Ron Tam: Okay, thank you Qingqing for joining us again and for continued support over the years. So your questions on two sides, the first one on the regulatory commission caps and the effects of that on the brokerage channels. I think the answer is the regulations have been rolled out and officially implemented over the course of the year. And I think that the whole industry has now migrated into the so-called new normal. Ever since September 1 of last year, all the new products that have been launched by the insurance companies have already incorporated the new commission structure. So the short answer is yes, I think the impact has been felt and I think it's already fully reflected in our financial results for the Q4 and also for the rest of the industry and appears that are also listed in the public markets. I think that similar results have been felt through across the industry. In terms of the regulatory impact itself on the focus channels and agencies that's already been felt. We'd like to note that for the regulatory implementation on the tied agency channel, this has not yet been implemented, and we are expecting this to be effective sometime towards the middle to later part of this year. And with that expectation, we do believe that it could be incrementally positive for the brokerage and agencies channels, including ourselves, given that right now the regulatory framework has not been fully implemented across all different channels. So again, the fourth quarter results have fully reflected the new regulatory environment for our business models, and as well as for the rest of the industry. In terms of the competitive landscape, we would like to comment that very likely with the implementation of the commission caps, market share is likely to be more consolidated among the top tier players, including ourselves, and maybe some of the listed peers. And as a result, we do believe that the competitive dynamics would become relatively more, you know, in terms of long-term perspective more healthy and more sustainable. And very likely that the market share will be increasingly consolidated and concentrated among the top tier players. So I guess that's the first question. And I think that for Huize, I think that we have a natural advantage when smaller players exit the market and while market share is concentrated in top players, because we have a very flat hierarchy and much lower nimble cost base, compared to maybe in particular the traditional brokers that's operating in the market for a long time. We do have a very natural cost structure advantage, particularly with respect to customer acquisition. We've always been relying on a platform model, the open platform model to acquire customers rather than a agent-led model, that's number one. And number two, I think the AI evolution and the actual deployment of AI technology across our different business scenarios on the platform has also accelerated that advantage towards the online operators or digital players like ourselves. So on AI technology, I think that Mr. Ma has actually shared a lot of details on how AI tech is being implemented across our operations. I think that in terms of the financial outcome, if you will, right? So what would that translate into our financial results? I think very likely that over the course of the next few years, you'll see that the biggest contribution from AI is that the fixed cost base could be much more nimble and I think the efficiency can be much more amplified. Basically, with less human resources investment, we can support a much scalable operations. So meaning that operating leverage will likely increase by multifold. You know, scalable business growth without the need of deploying a lot more human resources to support, for example, the conversion of customers, especially in the customer service front. I think that AI can resolve or deal with 95% of the customer enquiries and services that's required on a normal cost business. And I think that the AI agent would be a key anchor for us going forward in terms of further investments into improving customer journey and using and utilizing AI as a major tool, a scalable tool, to acquire customers at large. So that is something that we have already launched through the DeepSeek integration in February. We're seeing some initial encouraging results. And I think over the course of the next few quarters, we'll be happily sharing additional milestones as we achieve them. So hopefully that answers your question, Qingqing. Thank you.
Operator: All right. Thank you. We will now take a next question from the line of Amy Chen from Citi. Please ask your question, Amy.
Amy Chen: [Foreign Language] [Interpreted]
Ron Tam: Thank you. Thank you, Amy, again for joining us again and continuing to support us. Maybe I can help you translate your questions. [Foreign Language]
Amy Chen: I can translate the question. Yes, so I have two questions. The first one is regarding to the trend of operating expenses in the fourth quarter. We noted that actually both selling expenses and G&A expenses saw significant year-over-year growth in the fourth quarter last year? I wanted to ask what's the main rationale behind this trend? And the second question is regarding to the gross profit margin, as well as net profit guidance for the year of 2025. We noted that actually after the rationalization of commission in the broker channel, the gross profit margin actually was compressed to around 30% in the year of 2024? Wondering if we would likely to see some margin improvement going ahead to the year of 2025 given our investments in AI and the potential improvement in efficiency? Thank you.
Ron Tam: Thank you, Amy. So three questions. I think the first one, let me address that first. So there is some sequential growth on some of the expensive accounts. I think that one of the main reasons to do that is we actually implemented some further restructuring in Q4 in terms of our personnel headcount in the fourth quarter. So that has led to some one-time, one-off costs associated with that exercise. And we do have made some further AI investments in Q4, so that has led to some modest increase in the expense items. So I think over the course of 2025, I think one of the key focus for us obviously to further utilize and deploy AI throughout the whole business operations on [offence] (ph) on the front end, on the mid-office and back-office. I think there's a lot of room for us to further drive cost savings and efficiency in the mid to back-office in the tunes of double-digit percentage. So AI definitely would be leveraged and deployed at large in terms of not just customer acquisition and customer service, but also on the normal cost business operations. So I would note that in Q4, those are relatively one-off trends. So in 2025, I think that we are still targeting to drive a year-over-year decrease in the operating expense ratios across the three key line items there. In terms of gross margin trends, I think, yes, you do note that correctly that there has been some depression in gross margins over the course of the last few quarters, but I do know that in Q4 of this year or 2024, our gross margin has actually recovered to around 34.7%. So I think that our outlook for 2025 is definitely to maintain at least that kind of low to mid-30 range growth margins. And ideally, the investments that we're making on the AI front would drive further gross margin improvement and expansion, particularly on the customer acquisition front, because that hopefully would drive more scalable direct-2C customer acquisitions at low cost. So I think hopefully the gross margin line can improve further. And in terms of the guidance for 2025, we do guide towards a profitable full-year of 2025 and we are targeting mid-single-digit, kind of, net profit margin for now. I think that the earnings growth will also be driven by our continued business momentum in the international revenue front. Obviously, I'm referring to the large contribution right now from our Hong Kong business. So and also we would be further, you know, deploying investments into the two new Southeast Asian markets that we mentioned just now in the call and also invest will be made in AI. So overall I think 2025 we're looking at a profitable year and looking at a reasonable single digit type of profit margin -- net profit margin.
Amy Chen: That is very clear.
Ron Tam: Thank you.
Operator: Thank you. We have reached the end of the question-and-answer session. And with that, I'll now turn the conference back to Mr. Kenny Lo for closing commands.
Kenny Lo: Thank you, operator. In closing, on behalf of the Huize’s management team, we would like to thank you for your participation in today's call. If you require any further information, feel free to reach out to us. Thank you for joining us today. This concludes the call.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.
Kenny Lo: Thank you very much.